Operator: Good afternoon and welcome to the Second Quarter 2020 Financial Results Conference Call from VERB Technology Company, Inc. Please be advised that this call is being recorded at the company's request. On our call today are Rory J. Cutaia, CEO; and Jeff Clayborne, CFO. Before we begin, I would like to remind everyone that statements made during this conference call will include forward-looking statements under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties that could cause actual results to differ materially. Forward-looking statements speak only as of the date they are made, except as required by law as the underlying facts and circumstances may change. VERB Technology Company disclaims any obligations to update these forward-looking statements, as well as those contained in the company's current and subsequent filings with the SEC. The company also notes that in addition to these results under Generally Accepted Accounting Principles or GAAP discussed on this call, the company will also present two non-GAAP measures as supplemental measures of its performance: quarterly recurring subscription revenue or QRR; and annual recurring revenue or ARR. Although QRR and ARR are commonly not used by companies in the SaaS space, neither is a recognized measurement under GAAP and should not be considered as an alternative to the company's net income, income from operations or any other performance measure derived in accordance with GAAP or as an alternative to cash flow from the company’s activities as a measure of liquidity. I would now like to turn the call over to Rory J. Cutaia, CEO. Rory, you may begin.
Rory Cutaia: Thank you. And I thank everyone for joining us today for our 2020 second quarter financial results conference call. On today's call, we will bring everyone up to date on the progress over the past three months. At time that for companies and investors alike has been fraught with uncertainty, uncertainty arising from the continuing potentially long lasting, if not permanent effects of COVID-19 on business, investments and the economy at large, as well as the uncertainty surrounding the ongoing social unrest, the upcoming election and the potential impact of these events on the capital markets. I'll discuss the measures we've implemented and the steps we've taken to mitigate that uncertainty for ourselves, our employees and certainly, for our investors. And some of those initiatives have allowed us to deliver the best quarter in the history of our company. Jeff Clayborne, our CFO will provide a more detailed review of our financial results for this period. And at the end of the earnings call, we'll hold a Q&A session. So for those new to our company, we're software as a service or SaaS applications platform developer or platforms comprised of a suite of sales enablement apps marketed on a subscription basis. Our applications available in both mobile and desktop versions are offered as a fully integrated suite, as well as on a standalone basis, they include verbCRM, our customer relationship management application, verbLEARN our learning management system application and verbLIVE, our live broadcast, interactive video webinar, and live stream ecommerce application. Our suite of applications can be distinguished from other sales enablement products, because they utilize our proprietary interactive video technology as the primary means of communication between sales and marketing professionals and their customers and prospects. Moreover, the proprietary data collection and analytics capabilities of our applications inform our users in real time on their devices, when and for how long prospects have watched a video. How many times they watched it and what they clicked on, which allows our users to focus their time and efforts on hot leads or interested prospects, rather than on those that have not seen the video, or otherwise expressed interest in the content. Our clients report these capabilities provide for a much more efficient and effective sales process, resulting in increased sales conversion rates. We developed a proprietary patent pending interactive video technology, as well as several other patent issued and patent pending technology that serve as the unique foundation for all of our platform applications. As I've talked about, over the past year, we've been focused on setting the table building [ensured up] [ph] the foundation upon which we are building piece like carefully and strategically build piece, a world class organization with global aspirations. In an effort to provide the kind of transparency I believe our shareholders deserve, not just our shareholders, who are considered our co-owners or shareholders in any company. I've talked quite a bit about what we're building, what's coming, what we're working on, and our evolving vision for this company. I needed now immediate gratification attention deficit disorder and put up a shut up social media mobile screen world that has consumed our entire virtual existence, talk and talk alone doesn't move the needle. Results, move the needle, measurable results, execution moves the needle. So today, we're going to talk about execution and measurable results. The company and for those of you that are shareholders, your company is really hitting its stride. I'm proud to report that we had a record breaking quarter, even beating the preliminary guidance about our second quarter results that we released last month on July 13. To provide a complete picture of the business I'm going to discuss and compare the GAAP recognized quarterly recurring revenue reflected in our current 10Q against prior periods. I'm going to share the number of new client contracts executed in the quarter. And then I'm going to share the annual recurring revenue we expect to recognize from those contracts. So starting with Q2 of 2019, which was the first full quarter we reported post NASDAQ listing and the launch of our verbCRM app and continuing through Q2 of 2020. Here's a quarter-over-quarter SaaS recurring revenue growth as recognized by GAAP and reflected in our filed financials. 2019 Q2 was $858,000 to Q3 was $950,000, Q4 was $995,000, 2020 Q1 was $1,057,000 and Q2 are currently reported quarter was $1,274,000 that's five consecutive quarters of SaaS revenue growth. Again, these numbers represent a GAAP recognized SaaS revenue as reported on our financials as a component of our digital revenue. Comparing these results to last quarter, we have SaaS revenue in Q2 of $1,274,000, up almost 21% over Q1 and reflects growth of almost 49% over the same period last year. Total digital revenue in Q2 of $1,680,000, up almost 16% over Q1, total non-digital revenue for Q2 of $972,000, up almost 9% of Q1. Total combined revenue in Q2 of $2,652,000 was up almost 30% over Q1. In Q2, we executed 20 new client contracts, that's almost double the 11, we signed in Q1. And if we go back a year ago, it's 5x the number we signed in the same period last year. The base value of those contracts is $983,000. That's growth of 65% over last quarter and 245% growth over the same period last year. I say base value because base value only represents the minimum monthly guarantee over the life of the contract. And during the upcoming months and over the life of the contract, we expect the individual users will add additional services and features such as verbLIVE and corresponding revenue that is not yet reflected in these numbers. It also represents $573,000 of annual recurring revenue. That's growth of almost 92% over last quarter and 227% growth over the same period last year. And a couple of other notable data points, we're now at 1.49 million user downloads up from 1.46 million as of June 30. And also the investment community is beginning to take notice. We've recently added 1741 investors in just one week. I've said this before, but it's worth repeating. The monthly recurring subscription component of the digital revenue or SaaS revenue is very high margin business with gross margins above 80%. And now, it's the largest and fastest growing component of our total revenue. This revenue also commands the highest market multiples to calculate market value for the business and the corresponding per share value. When we think of underlying business fundamentals, which in our view is the source of true market value, this is what we focus on. And this is what we believe value investors focus on. So with growth of our SaaS business up almost 49% over the last year and almost 21%, over the last quarter alone, I'm proud to report that our value creation initiatives are indeed producing measurable, quantifiable and now accelerating results. So now let's talk about what we're doing to drive that growth further and faster because yes, that's impressive growth, and certainly a lot to be proud of, especially during a global pandemic. We want hyper growth, we want to see this thing hit that tipping point where the revenue just takes off and the share price follows. And as an investor, and look, I've invested 4 million bucks my own bonus, so like you, I want to know what we're doing to achieve that. Right? So let's talk about verbLIVE. As we announced last quarter, we began the limited release of verbLIVE a groundbreaking interactive video live stream ecommerce and webinar platform, verbLIVE truly captures the value proposition of our entire company delivering easy to use products that drive sales revenue by eliminating friction from the sales process. Essentially verbLIVE is Zoom, but does something Zoom doesn't. It gives the host the amazing, almost magical ability to insert clickable buttons and product images on screen on which viewers can click right in the live stream broadcast to purchase your products and services. For those of you have seen a demo of it, you know, it's quite extraordinary in an age of remote work and social distancing and many stores are closed and for those that are open, people are afraid to go in and shop and browsing on Amazon is so 2010. We believe verbLIVE is a game changer. And that's just not me saying that. Many have seen it. Get it. I'm not sure I could overstate what we believe is an enormous value creation opportunity. So how do we intend to market it and monetize it? So first off, you've seen the press release issued this morning about verbLIVE being available to Salesforce users in the Salesforce app exchange marketplace under the Salesforce partner program. It will give every Salesforce user the ability to click on their contact icon right in their Salesforce dashboard and from the drop down menu, they'll see verbLIVE. They click on that they launch their own verbLIVE, live stream ecommerce session and invite people directly in their Salesforce contact list. Super cool, very easy, and a very effective sales generation add-on tool for every Salesforce user. We're charging $24.99 per month per user. And we're going to work with Salesforce to develop a marketing campaign to promote it heavily within the Salesforce ecosystem. We've already got some new features for the Salesforce version in Q&A that will be releasing soon as well. So we expect that there will be a constant stream of new updates and features that we think users are going to love. As I said before, we're delivering on all of our promises and we intend that Microsoft will be the next one we announce. So standby. But back to that hyper growth moment; let's talk about the low hanging fruit. At last count, we have I believe, 17 of our existing clients that have already signed up for verbLIVE during the pre-launch marketing. Combined, they represent a total addressable market of 465,350 users. So work through this analysis with it. Our penetration rates among our existing customers vary, but on the low end, it's about 10%. So let's say we only get 46,000 users to subscribe and pay for verbLIVE. We're charging 9.99 to 14.99 per user per month for verbLIVE depending on the features in the package for existing verbCRM users. So for this analysis, let's go with the low number of 9.99 per user per month. That means we have an existence total addressable market in dollars of approximately $4.6 million per month of recurring SaaS revenue of which applying low penetration rate of 10%, we believe we can capture approximately $460,000 of SaaS recurring revenue per month, or approximately $5.5 million of annual recurring revenue. So let me provide some more color around the penetration rates. This is not like running ads on social media to a large target audience and predicting or rather, crossing our fingers and hoping we get adoption. Many of these are people who already have our verbCRM app on their mobile device to whom we can send very targeted messages with video demos of what verbLIVE could do for their business. And our platform is already integrated into many of the back office providers making adoption quick and easy. Again, that may be the very realistic SaaS revenue potential from what we've already signed for verbLIVE among existing customers before releasing it broadly to the global market. Let me be clear here. This is a small part of our internal model. This is not to be interpreted by anyone as a guarantee of performance or results. This is a forward-looking statement. So don't go out buy more shares based solely on this information. As you know, we encourage communication with our investors on a regular basis. And many are writing to me saying release it to the full global market already. But as those of you who are familiar with massive product launches know, we need to make sure our projected usage models match our server capacity. And while this falls once again squarely in the province of a forward-looking statement, our current projected usage models forecast far greater numbers than the 10% penetration rates for existing signed customers that we projected six months ago. And much greatest number still, when we add anticipated adoption rates from the, as yet untapped market outside of our existing business. So we are working diligently to ramp up capacity before a large launch to ensure that we don't face service outages from overloaded servers. The fact is, no matter what we do, we may end up having server overloads anyway, as it's difficult to predict the rate at which this thing could take off. Well, we have to do our best to be patient and thoughtful and cautious to make sure the users have the best experience as that is the recipe for exponential growth or rather, the hyper growth that we're shooting for. So other updates are Japan operations are continuing to perform very well, in fact, I believe we launched another new client just this week. We're also making progress on our own app store ecosystem that I referenced in our last earnings call that we are about to release a bundled service offering, which includes a higher priced version of our verbCRM app bundled with third-party tax app software for sales professionals. And VERB was recently added to the Russell Microcap Index as part of the 2020 Russell indexes annual reconstitution. So as you can tell, despite the COVID-19 global pandemic, the remote work environment we've been in for the past six months and all the social unrest and uncertainty in the world, we're still focused in executing at a furious pace. But that focus doesn't mean we live in a bubble without regard to what's happening in the world. We're living through very difficult times; the social issues are inescapable and can no longer be ignored. At VERB, our motto is inspire action. And we've decided to apply that not only to the sales tools that we provide, but also to ourselves. We believe every company should adopt and employ socially conscious programs, no matter how big or small, now more than ever. So that's how we inspire action in ourselves and in so doing inspire action and others to do their part. All of us need to do our part. Don't get me wrong. I'm a capitalist through and through. And I'm not suggesting for a minute that companies forego their profit motive, because the fact is, it's through those profits, that we are then better able to assist those in need. In that regard, we applaud NASDAQ for establishing and promoting the ESG Advisory program. For those of you who aren't familiar with ESG scores, it stands for environmental, social, and governance and companies are now rated based upon how they stack up in each of those categories. And today, more and more investors are taking ESG scores into account when contemplating an investment. According to NASDAQ, ESG information is no less relevant or useful to an investor in assessing the financial prospects and operational performance of a company, than information channeled through traditional accounting practices. In fact, 96% of NASDAQ listed companies now report at least one ESG metric on an annual basis. And we intend to be among them. And I'm proud to announce the launch of verbHUMANITY earlier this year. We've been behind numerous socially conscious initiatives, which will find a new VERB for humanity website that we expect to launch in the coming weeks. With regard to other events, screening uncertainty in the world, well, the upcoming election and the potential post election impact on the capital markets. We've all heard rumblings about the impact on the capital markets dependent upon which candidate is victorious on Election Day. And while we certainly don't profess to know one way or the other, whether that's true, we do believe, it was incumbent on us to insulate ourselves and our shareholders from any risk of uncertainty to the extent we could as you know, we previously adopted a policy of only raising the capital we need for short, predictable periods so as to minimize the dilutive effect of new share issuances. In hindsight, I'm not so sure that policy has yielded results that we desired. However, back in April and May, as we look forward toward our future capital needs and specifically around the capital required for an intensive marketing campaign around verbLIVE, we were concerned that if we wait to we need the capital again, the markets may be closed or we may encounter other issues related to the overall economy that might make a capital race difficult. So in order to eliminate that uncertainty and the potential damaging consequences of not having access to capital as and when we needed it, we decided to pursue a larger offering now in order to ensure that our current business plans were fully funded well into next year and potentially beyond. That led us to conduct a public offering to raise $8 million eight to $10 million. But we wanted to raise capital through the issuance of straight common shares, no warrants, which many told us might be difficult to achieve. Well, as it turns out, the offering was extremely well received. And not only did we raise the higher end of the offering to $10 million, but due to the demand from the investment community, we were able to upsize our offering by 15% and together with the exercise of the over allotment by our underwriters, we were able to close on a total of $13.8 million. Well, more than we intended, leaving us extremely well-capitalized. That was closed several weeks ago on July 24 and you see that cash in our balance sheet in the subsequent events section of a compound. I'll leave it to Jeff Clayborne to lay out the details of that transaction for you. Finally, before I turn you over to Jeff, and in the spirit of transparency, we recently executed a letter of intent for another acquisition that will allow us to expand more rapidly into a desirable new business vertical products and services. Contracts are now out to review and when executed potentially, as soon as next week, we will disclose the full details for all of you in an SEC filing. If executed as we anticipate, the transaction is expected to close next month. I'd now like to turn the call over to Jeff Clayborne, our Chief Financial Officer for a more detailed review of our financial results. Jeff?
Jeff Clayborne: Thank you, Roy, and good afternoon everyone. I'd like to review the financial highlights as included in our Form-10Q filed today, August 14 for the quarterly period ending June 30, 2020. As we already discussed, we've been focused on growing our SaaS recurring subscription revenue, total SaaS revenue for Q2 totaled 1.3 million, an increase of almost 21% and the 1.1 million reported last quarter and an increase of almost 49% from 858,000 reported for the same period last year. Total digital revenue for Q2 totaled 1.7 million an increase of almost 16% from the 1.5 million reported last quarter and an increase of almost 16% and 1.5 million reported for the same period last year. On a pro forma basis, the total SaaS revenue for the first six months of 2020 totaled 2.3 million, an increase of almost 42% and the 1.6 million reported from the same period last year. On a pro forma basis, total digital for the first six months in 2020, a total 3.1 million, an increase of almost 25% from 2.5 million reported for the same period last year. Looking at our operating expenses, we continue to add resources to our product team to support development of verbLIVE plus enhancements to verbCRM and to our core platform to facilitate native integrations with Salesforce, Microsoft, Adobe and other channel partners. Research and development for Q2 totaled 1.6 million, an increase of approximately 22% and 1.3 million reported from the same period last year. On a pro forma basis, research and development for the first six months of 2020 totaled 2.9 million, an increase of 12% to 2.6 million reported for the same period last year. We've also had increases to general and administrative expenses attributed to increase labor and stock compensation expense to support growth and increase facility costs at our corporate headquarters in Newport Beach, California. General and administrative expenses for Q2 totaled 4 million, an increase of approximately 24% and the 3.3 million reported at the same period last year. On a pro forma basis general and administrative expenses for the first six months of 2020 totaled 7.5 million, an increase of approximately 16% and 6.5 million reported in the same period last year. As of June 30, 2020, cash totaled 1.4 million total assets were 28.4 million, total liabilities were 18.9 million and total stockholders equity was 9.59. We had a couple notable changes to our balance sheet, we added 1.4 million in long-term debt, of which 1.2 million is a paycheck protection program loan that we believe will be completely forgiven that I'll discuss in further detail in a moment plus 150,000 associated with an economic injury disaster loan payable over 30 years. We've had a couple classification changes as 1.1 million of long-term related party debt, and 521,000 deferred instead of compensation is now classified as current. As Roy mentioned earlier, we've also been incredibly focused on properly capitalizing the company to provide the necessary growth capital and to manage the social and economic uncertainty. Some of the financing initiatives that occurred in the first six months of 2020 and subsequent to June 30, 2020, include the following. On February 3, 2020, we initiated private placements in the sale and issuance of up to 5 million restricted shares of common stock at a per share price of $1.20, which represented a 20% discount to the then current 1.50 closing price of our common stock and the day the offer was priced and is memorialized by executed subscription agreements. As a result of this private placement a total of 4,237,833 shares of common stock were subscribed for and issued for net proceeds of 4.4 million after direct costs. On April 17, 2020, we received loan proceeds in the amount of 1.2 million on the paycheck protection program or PPP. The PPP established as part of the Coronavirus aid relief and Economic Security Act provides for loans to qualifying businesses for amounts up to 2.5x, the average monthly payroll expenses of the qualifying business. The loan and accrued interest are forgivable after the earlier of one 24 weeks after loan disbursement fee and two, December 31, 2020 as long as the borrower uses the loans for eligible purposes, including payroll, benefits, rent utilities and maintains this payroll levels. To the extent any portion of the loan is not forgiven, it is payable for two years at an interest rate of 1% with a deferral payments for the first six months. We have used and we will continue to use the proceeds solely for expenditures strictly in compliance with the terms of the PPP. On July 24 2020, we closed our public offering and the company issued and sold 12,545,453 shares of common stock, which includes 1,636,363 shares of common stock sold pursuant to the exercise by the underwriters of an over allotment option for gross proceeds of 13 point 8 million. Our net proceeds totaled 12.3 million after deducting the underwriter discounts, commissions and operating expenses. As of today, there are 43,947,648 shares of our common stock issued and outstanding of the total number of common shares issued outstanding approximately 4.5 million shares or approximately 10% are owned or controlled by management and the Board of Directors. I'd like to turn the call back over to the operator for Q&A. Operator?
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question has come from the line of Jon Hickman of Ladenburg Thalmann. Please proceed with your question.
Jon Hickman: Could you talk a little bit about the sales success over the last couple, well, last month or so? But as far as new accounts go, et cetera. And if you can, can you name names?
Rory Cutaia: Look, the company, as you could see over the past quarter has continued to add clients that I think I've used the word furious already, furious, I think appropriate. We've added, let's see, I think we've gotten 1, 2, 3, 4, 5, 6 I think just in the past couple of weeks, we're really doing very, very well right now. I think that the market has finally begun to understand what we do and what our value proposition is. And we're really -- we're doing incredibly well and the sales team is doing a great, great job. We've beefed up the sales team. We've added a bunch of people we've added people on the customer support side customer success. Some of the names that are in that list that I just talked about are names that you would recognize, their brand names, but without their permission, I would decline to name them right now, at some point, we'll get their consent we'll put out press releases and be happy to share those names.
Jon Hickman: Okay. As far as your potential acquisition goes, could you -- is this technology you're buying, are you buying customers?
Rory Cutaia: This is an operating business that has revenue and customers in a particular sector that we are very keen on. And that we are very much looking forward to launching a combined product into that sector in the near term. So this is something that, believe it or not, through this crazy pandemic, the capital raise, travelling to Asia for the one right before that, we've been working on doing due diligence and negotiating the deal. So it's been busy, busy, busy is a ridiculous understatement. But I think we've got this thing teed up for to close next month. Look again, let me be clear, no guarantees of anything please, don't hold us do. We feel pretty good and confident about it.
Jon Hickman: Can you tell us, this is going to be accretive?
Rory Cutaia: Yes, we believe it will be accretive.
Jon Hickman: Okay. Then one last question for me. You talked a lot about how verbLIVE is not yet generally available if you've kept it to select existing customers? Do you have, I know it's about servers stuff and getting all the bugs out? Do you have any idea when it might be generally available?
Rory Cutaia: Yes, I mean, I'm targeting generally available two months ago frankly, but I think we're looking at some time over the next several weeks. Here's the bottom-line. This thing is great, okay? We think it's going to be an enormous value creation, opportunity for all of our shareholders. And if we put it out and we get the kind of response that our models are predicting, the thing just blows up and overload servers and people have, not a great experience and I can't let that happen. So look, I may be totally wrong, and nobody likes it, nobody cares. I don't think so. So we are building up our global infrastructure around this, we're even looking at some private networks in order to make sure that it works incredibly well no matter where you are in the world. So I'm hopeful that over the next several weeks, maybe that gets pushed into September, but that's not going to stop us from beginning to generate revenue from it. Look, we put it out. It's now available in Salesforce. And it's great. I was playing with it this morning. And I think people are really going to like it. I think the first few Salesforce sales people that begin using it' they're going to tell everybody about it, because I think it's just that cool. And then, if you're selling something, it's probably the most effective way to sell anything right now. So I suspect just from word of mouth that's going to really take off, but we are working on a plan that we're working with Salesforce on to really promote it within the wholesale stores ecosystem. And by the way, we're already on the Microsoft integration and launch there too. So there's a lot going on. So we'll begin generating revenue from that. And it'll be within, a universe of potential use that we feel very, very confident that we can manage right now on the existing infrastructure that that, frankly, we plan for when we did our initial modeling around this and built and put in place and it's ready to go. But over the past couple of months, as we continue to assess the market and see what the response is and update our modeling, it became clear to us that this could be way bigger than what we had originally intended. So that's why we're being cautious and doing it the right way.
Jon Hickman: Okay. Just if I was Zoom and I wanted to duplicate this interactive capability. We're kind of head start to think you have and patent protection.
Rory Cutaia: We've got terrific IP protection around it. We've got a pretty meaningful head start and some of our investors who have been with us a long time though, this is something I've been talking about doing for the past three years. So it's been a long process, a lot of fits and starts. The technology is pretty complicated behind it. And because we were way out in front of this before everyone else, we've got some terrific IP protection already in place. So I think we have a meaningful head start. But I will add this, this market for this product is so massive, that could be 15 other companies offering the same thing, it's not going to change one bit for us. So it's that big.
Operator: Thank you. Our next question is coming from the line of Brian Kinstlinger of Alliance Global Partners. Please proceed with your question.
Unidentified Analyst: Hi, everyone, this is Jacob on for Brian. Can you talk about the timing for the purchasing release and when it will be available for all users also, when you expect it will begin to have an impact on digital revenue?
Rory Cutaia: So we've already released that, we release it company by company. So that's already in motion. We expect to see an impact and we'll report on that separately in next quarter. So people will see that. But also, look, we're pretty -- we like to be very transparent as it progresses, we'll put out press releases and let people know how it's dealing, but we've got great expectations for that.
Unidentified Analyst: Okay. And you talked a bit about new customers in last couple of weeks. I think you said about six. Can you talk about the new order flow that you've been seeing kind of month to month, so from 2Q going into July and August?
Rory Cutaia: Let's see. I'm going to see, if I can pull something up here that I can give you some more accurate information. Give me a moment. What is that looking like? Let's see. So since second quarter ended it looks like we've got a total of 24 was that 26? 26, I see. Yes, so we're -- the deal has been pretty impressive even for us. So, but again, I can't release names, but we will put them out in press releases. In fact, I think what we'll do to address this is, we will put out a press release listing the clients that were added just recently, we probably won't mention names, but we will put revenue numbers in, so people can see exactly how this is ramping up, which is pretty nice. And I think that would probably be the best way to for us to deal with it, so everyone can see what's going on.
Unidentified Analyst: So you've added 26 from July through until now in August, right?
Rory Cutaia: Approximately, yes.
Unidentified Analyst: Okay. And then, is this going to be reflected in the second half annual recurring revenue bookings?
Rory Cutaia: Yes.
Operator: There are no further questions at this time. I would now like to turn the call back over to management for any closing remarks.
Rory Cutaia: We just want to say thank you, all of you for your support. We feel lucky, we feel blessed. I feel super grateful for our team that is in there, killing it every single day. It's taken this period of time to get where we are, as I mentioned earlier in my remarks. We were setting the table and now our shareholders will eat. We're very proud of where we are, where we're going. But this is really just the beginning, really, really just the beginning. I think that the beginning of the call, there was some difficulty. I know I had some difficulty dialing in and so it's possible that some people may have had questions, were not able to get it. So I propose this. If you've got a question, send it to investors@verb.tech and over the next week, I promise you that I'm going to read every single one of them and I will respond to them. So you're not trying to elicit material non-public information. But I will respond to every one of them because it's important to me that you are as informed as an owner of this business, as an owner of this company, as we are, at least as we possibly can allow you. So, please feel free to do that. I encourage that. Again, on behalf of myself and everyone in the company and our Board, thank you very much. We look forward to communicating again soon.
Operator: This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great weekend.